Marcel Valentin: Thank you for joining us to discuss UGE International's First Quarter of Fiscal 2023 Financial Results for the period ending March 31, 2023. On the call today, we have UGE’s CEO, Nick Blitterswyk, and UGE’s CFO, Stephanie Bird. During the call, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. We've collected investor questions via email. But you can also submit your questions through the Q&A tab in the web portal at any time and management will answer them following their prepared remarks. Next slide, please. Before management discusses the results, I would like to remind everyone that certain statements in this call may be forward-looking in nature. These include statements involving known and unknown risks, uncertainties and other factors that could cause actual results to differ materially from those expressed or implied in our forward-looking statements. For caveats about forward-looking statements and risk factors, please see our MD&A for the year ended December 31, 2022, which can be found on our company profile at sedar.com and on the company's website. I will now pass the call over to UGE's CFO, Stephanie Bird. Stephanie?
Stephanie Bird: Good morning and welcome everyone on the call. I'm Stephanie Bird, CFO of UGE International. And I'm joined today by our CEO, Nick Blitterswyk. For today's webinar covering Q1 2023 results, Nick will begin by summarizing key business highlights for the quarter. Next, I will run through our Q1 2023 financial results. From there, Nick will provide some concluding remarks with a look towards the future before we take questions and then wrap up the webinar. As a reminder, you could submit a question through the portal on the left hand side of your screen and we will run through them after our prepared remarks. As always, our goal is to be mindful of your time and keep this webinar concise and to the point. We will be speaking relatively high level and focusing on the areas that we feel are most important to understanding our business and financial results. Our webinar address is listed here as well, where you can download our full financials. We also want to remind our listeners that we report in US dollars. So the results in this webinar are represented in US dollars unless stated otherwise. So with that, let's start by talking about our key business results for the first quarter. Nick?
Nick Blitterswyk: Thanks, Stephanie. As Stephanie mentioned, I will start by talking about our business updates and begin with our project development pipeline. The table shown on this slide shows our pipeline, backlog, and operating portfolio as of the end of the first quarter. Because of the timing of our year end 2022 results and our 2023 Q1 results, we had previously announced that our backlog had reached 313 megawatts as of March 31, 2023, which represented record growth for us in the first quarter. Our backlog has grown further to 350 megawatts as of yesterday's release. We are really excited by the success we are having in developing our growing portfolio which includes a greater number of projects now reaching the later stages of our backlog where they enter construction and then become operating projects. On the next two slides, we show the representative numbers from Q1 2023 and Q1 2022 to highlight that growth. This chart here shows Stages 3.1 through Stage 6, with dark green being the first quarter of this year and light green being the first quarter of last year. I'll zoom in in a moment, but the first takeaway is the remarkable growth in Stage 3.1 which grew a 122% year-over-year. As a reminder, our backlog projects are ones where we have a contract to develop a project, we have filed for interconnection and the project has passed our investment committee approval, meaning, it's a project that we expect to eventually build. The next chart simply hides Stage 3.1 so we can get a better look at the later stages. In total, across the stages shown in this chart, there are over 28 megawatts of operational in construction and late development projects versus less than 8 megawatts last year for growth of over 260%. These 28 megawatts also represent total project value that is almost $100 million and we expect to see significant further growth and maturation throughout the balance on this year. Rounding out the numbers from our March 31 pipeline, I'll highlight our Stage 3.0 projects, which was shown on the earlier table and represent contracts in hand that have not yet been added to the backlog. This measure grew a 170% to 475 megawatts in the first quarter and our pre-commitment pipeline grew 160% to over 2.6 gigawatts of opportunities. As many of you will know, each quarter we published a supplemental disclosure file which can be found in our website's Investors section. The file lists the projects in our backlog along with key financial metrics and forecasted milestone dates. The file is updated as per the date of our release and gives us an opportunity to provide a further update on our progress so far this quarter. This progress is highlighted by our continued backlog growth having already added another 37 megawatts to backlog in Q2. As a reminder, our goal for year end 2023 was 360 megawatts. So already being at 350 megawatts, we are looking forward to smashing that goal. Looking a little closer, this slide shows a graphical representation of the number of megawatts we are forecasting to hit NTP and COD in each quarter. The dark gray line shows the cumulative megawatts forecasted at each date and is as of this quarter's release, whereas the light gray line is as of last quarter's release. A reminder that this is a forecast of our backlog projects only. It does not include any assumptions for other projects we have in development in our pipeline or that we will secure in the future. Or put another way, we will continue to win new business and expect to add to these figures. Lastly, we'll mention that project development is inherently variable, and one should expect dates to move around as projects mature, but we look forward to continuing to share our progress towards our goals. And with that, I'll now turn it over to Stephanie to summarize our Q1 2023 financial results, and then I'll return to discuss other business matters before taking your questions.
Stephanie Bird: Thank you, Nick. I'm going to review a few key items from our Q1 2023 financial results. Looking at this slide, energy generation rose 321% to 730,325 kilowatt hours in the three months versus 173,318 kilowatt hours in the year ago quarter. The energy generation increases resulted from the growth in UGE's energy generating assets. UGE’s energy generation revenue increased 143% to $107,000 in the three months ended March 31, 2023, as compared to the same period in 2022 as the installed capacity increased from 896 kilowatt DC to 3,758 kilowatt DC by the end of the reported quarter. This growth was the result of the company's acquisition and completion of its first Texas based project which is a 1.4 megawatt ground mount that reached commercial operation at the end of January. Also, there were -- the previously reported projects that reached commercial operation during the last nine months of 2022. The acquisition in Texas also includes a second ground mount solar project totaling 1.3 megawatts, which is expected to reach NTP this summer, and a battery storage project expected to reach NTP in 2024. As UGE grows towards its goal of 100 megawatts of installed capacity, energy generated in a given period will be predominantly impacted by installed capacity with seasonality also having a significant effect. Engineering, procurement and construction or EPC revenue decreased 40% to $108,000 dollars as the company closes out its remaining contracts. EPC gross margin during quarter was 34% versus 41% in the first quarter of 2022. The engineering services business recorded revenue growth of 117% with a 28% gross margin versus a 32% gross margin in Q1 of 2022. Management expense that its third party revenue will level out as the company focuses the efforts of its engineering services team on its owned projects. Total operating costs and expenses were $2.8 million during the quarter, a 70% increase over the $1.7 million reported in Q1 of 2022. The main driver of the increase was general and administrative costs related to salaries and benefits, which were $1.6 million in Q1 2023, versus $1 million in Q1 of 2022. This was a 63% increase arising from the company moving from 47 to 74 employees and contractors between March 31, 2022, and March 31, 2023. The net loss and adjusted net loss for the quarter was $2.8 million compared with $1.6 million for the same quarter of 2022 as a result of continued investment in developing and building out UGE's operational portfolio. The change was primarily driven by increased headcount as the company continues to build out its team to accommodate growth, along with as expected increases in financing expenses. That said, we are confident that the investments we are making will be rewarded by strong cash flows from our projects once deployed. As a reminder, we are in the process of transitioning from a onetime revenue model to a recurring revenue model and losses are expected until the company's self-finance portfolio reaches its larger scale of project deployments and operational projects. While this transition occurs, building out projects creates positive cash flows through the retention of what we refer to as a developer fee. This is starting to become more noticeable as our deployments scale up and will become even more noticeable as deployments ramp even further and more projects reach commercial operation. Moving to the next slide, let's look at our financial position. As of March 31, 2023 UGE had $4.2 million of cash, a working capital deficit of $3 million, and our cash used in operations was $405,000. I'll just pause for a moment there and talk about the $3 million working capital, which is over half comprised of sellers note regarding that acquisition noted previously. Sources of capital to fund the company and are projects continue to be robust. On March 30, we closed the first tranche of another Green Bond brokered private placement, and on April 27, we closed the second tranche of a combined total of 1.7 million CAD. This followed the 7.4 million CAD Green Bond offering that closed last November. We've also closed multiple project financings, both debt and tax equity so far this year. Our balance sheet continued to grow as projects progress through our back log. Of note for this quarter is the increase for construction in progress and solar facilities in use together with their associated project and tax equity debt. Project debt was also impacted by the Green Bond raise in the quarter and another draw in the development capital facility to fund the Oregon acquisition as that project nears NTP. We had $5.4 million of long term prepaid expenses at March 31, 2023, versus $1.3 million in 2022, as a result of equipment deposits to support our construction later this year. Additionally, there was an increase in capitalized project development costs which is an indication of the progression of our projects through the backlog towards construction. The increase in ROU assets and their associated lease liabilities, as well as accrued liabilities for the related commissions,  (ph) continue to increase site securement with a further seven leases being signed in the quarter. The increase in operating debt relates to short term working capital facilities utilized as we move towards the $6 million development capital line that was signed just last week. That concludes my prepared remarks, and I will now turn it back to Nick.
Nick Blitterswyk: Thanks, Stephanie. Before we wrap up, there were a few more areas of the business we'd like to highlight. I first want to come back to the value of our project. Especially as they reach the important NTP and COD milestones. With respect to NTP, this is an important milestone because it reaches -- it represents the completion of the development cycle, which also means that, as a developer our development work is complete. Yes, the project still needs to be constructed, which can take six to 12 months. But within the industry, a developer has earned their return at this stage and this is the most accretive part of our business. In terms of the value of projects at this stage, we regularly receive inbound interest from larger funds and IPPs looking to acquire assets. So we have a pretty good sense of where these values lie. When we finance projects, we get third party evaluations further solidifying our understanding. We have a page in our investor deck on our website that shows an illustrative net value of a $1.30 per watt, which is the difference between a projects fair market value of, say, $3.30 per watt, and has cost to develop and build of, say, $2 per watt. The slide in our investor deck extrapolates that value out over our backlog and reaches a value of over $400 million US or about 13 times our current market cap, and that was before this quarter's additions to backlog. I am highlighting this because there is a lot of value growing in our business that is simply not yet reflected in our income statement. Following the logic and timelines above, it can be a full year or more in between when we have created that value and when our income statement will start to show the increase in recurring revenue despite the fact we have created those very real assets. This will play out in a few ways. Ultimately, down the road we are going to be owning and operating a full year of assets with strong cash flow and gross margin characteristics, you're starting to see glimpses of that with our consistently high gross margins on recurring revenue. But well in the dance of that, we will have created this value and because we are growing so fast and our backlog is so much larger than our current operating portfolio, it can be easy to miss the volume and value of work that we have underway. As mentioned earlier, we currently have nearly $100 million US of projects in these later stages of operating in construction and in later stages of development compared with the $0.5 million of revenue we recorded in Q1. Fortunately, you will see this play out to some degree as we finance our projects and start to retain what we call our developer fee, which is already leading to growing cash flows for the business. This is only a portion of the total value we are creating in our projects, but is a leading indicator and is also driving improvements to our cash flow statement now that project deployments are ramping. Second, I want to highlight the growing market itself as it seems every week there is new industry news of another state adding or growing their community solar program. One of my favorite stats of late is that, there was more energy storage installed in 2022 than new fossil fuel plants, showing how the time is now for energy storage as well. As interconnection challenges continue to play the industry, our focus around distribution level project provides us a unique opportunity to provide an outsized impact and grow more quickly than the industry overall. On Green Bonds, I'll mention that we had a smaller raise in Q1 which for sake of simplicity included a smaller second close in April. As we continue to grow our Green Bond initiative we filed a preliminary shelf prospectus earlier this month and look forward to leveraging it for future Green Bond rounds. Lastly, I'll just briefly mention that on both supply chains and project finance, we feel pretty good. Supply chains continue to improve gradually and steadily, both in terms of cost and availability and we have several project financings on the go as we approach additional NTP dates. With that, we'll wrap up the prepared remarks by pointing you to where you can find more information. As mentioned earlier, our website is regularly updated and contains all of our financial filings and other updates. You can also find our financial filings on sedar.com. You can also visit Sophic Capital's website for additional information and follow us on Twitter to get links to announcements and other media. Thanks again for tuning in today, Marcel, back to you.
Nick Blitterswyk: Marcel, I can take that. I'm actually just going to flip back to that supplemental disclosure chart here. So the first answer is yes, those megawatt are expected to COD here within 2023. And the first page of this graph that I'm showing, it lists actually every project in our backlog and gives those currently forecasted NTP and COD date. So, you can track back to those dates there.
Marcel Valentin: Okay. The next question is, how should  to ramp during the next three quarters?
Nick Blitterswyk: So, definitely it would be more steady than it's been. Over the last couple of years we had  ramp up to get to this sort of 100 megawatt per year mark that we're looking to be at here. I know most recently looking at where the headcount growth was, we had the most growth in the deployment side of things because  hitting NTP on so many new projects since we had the bulk of our team there, but that is expected to be more gradual going forward.
Marcel Valentin: Okay. And do you have an estimate click expected proceeds from the sale of the Philippine projects?
Nick Blitterswyk: It is -- it's not too significant. It's in the kind of mid six figures range for the last two projects that have there to sale. So…
Marcel Valentin: Next question comes from  with Cormark Securities. One the thing on the backlog and timelines related to getting products interconnection approval?
Nick Blitterswyk: Yes. So, in terms of what we're seeing at a high level, there is a bit of like a state-by-state variation going on. There's states like -- I think in New York City, actually New York State more broadly, we've been pretty consistent with timelines and even actually been able to pull in some timelines. Whereas, I think folks are aware that in Maine, the utilities there have not been the easiest to work with from a timeline perspective. And so it's been somewhat common that new months are added to timelines sometimes based on almost like a -- almost on a whim from their own processes there. And I think that partly speaks to just how fast that market's grown and so on. So it does vary by state. The more mature state that you're in, the more confident we are in those timelines. I guess maybe the third access of this answer would be, there is -- like, the biggest rewards -- so, even though I just mentioned Maine is being tricky from a timeline perspective. On the other hand, we're really happy with the value that we're creating for the company with those assets because we got into that market pretty early. There's a bit of a yin and a yang to that. And I just mentioned that, because there is markets like Pennsylvania where we have a number of sites locked up for the expected upcoming community solar program there. And so, then you have some sort of, like, legislative risk about the expected timeline. We're feeling pretty good about the timeline for those Pennsylvania projects and the program in Pennsylvania, but it's not always perfectly easy to forecast.
Marcel Valentin:  also a comment on the cost you're seeing for panels. Commentary from other peers suggest cost are down year-over-year. Is that the case for some 5 megawatt sized projects as well?
Nick Blitterswyk: Yes. Definitely. Absolutely. Yes, I know -- so two things. One on panels, in particular, as the sort of bottlenecks that were related to, I think, the pandemic as much as anything. Also, the -- it was June of 2022 when there was the possibility of some increased tariffs and that kind of jammed up supply of solar panels in U.S. for a while. But in the last year, we've definitely seen improvements in that. And probably the biggest thing we're on the watch for now is that, there have been a lot of announcements around, like, on shoring, manufacturing to get the domestic adder for the investment tax credit as well. And so, I think that's probably the next thing we're watching for as the timeline for being able to meet those domestic content guidelines. And that's probably sometime in 2024 thing.
Marcel Valentin: Next questions come from  from IA. Are you considering monetizing any additional development projects to secure funding for growth?
Nick Blitterswyk: Yes, it's a good question and actually it allows me to mention something I didn't earlier and that is like, as deployments ramp up we are expecting to be cash flow positive this year, which is obviously a pretty big milestone for the company. In terms of monetizing assets specifically, I think we want to be open minded and strategic in that respect. Obviously, we're looking to build the portfolio here and build this long term recurring revenue and so on and so forth. And I think as that portfolio grows, there's going to come a time where the market won't be able to ignore valuing us more like an IPP, which we don't believe is the case right now. But in the meantime, if we have too much of a good thing or if we strategically see an opportunity where someone else might be valuing a project more highly than we are, yes, it's something that we need to consider there.
Marcel Valentin: You already paid off the remaining $1.7 million balance for the Texas acquisition?
Nick Blitterswyk: Yes, just to kind of elaborate on what Stephanie had said in the prepared remarks there. We are quite close to closing on the two parts. That project, we were able to secure about almost $400,000 USDA grant, because it's classified as in being in a rural area. And then there's also a like a perm note, typical project financing that were in the process of closing. And so to make a long story short, the process with the bank that we're working on that dragged out a little bit but we're pretty close to closing that now and we're appreciative that the project actually closed with the sellers note to start with.
Marcel Valentin: In the interconnection  causing any bottlenecks today?
Nick Blitterswyk: Our interconnection pausing bottlenecks? I think, industry wide the answer is definitely yes and that's the biggest limiter I would say to growth right now is interconnection time lines. I always say that it's manageable. It's just that you have to understand that these things do take time and you go through these studies and so on. It's manageable. The other aspect here is that, being a distribution level developer where we're not so much focused on transmission, we're more focused on the feeder lines and the substations and so on at more of a local level. That does allow us to move more quickly than the overall industry at large. I think there's -- I think that maybe part of the noise you hear around interconnection not that we don't deal with it, but I think on the utility side, I think that those issues are quite a bit more severe.
Marcel Valentin:  administrative cost of the data increase significantly alongside your portfolio growth, what are we expecting to trend throughout the rest of 2023?
Nick Blitterswyk: Marcel, sorry, I just want to get -- do you mind repeating the question?
Marcel Valentin: Yes. So your G&A cost have continued increase, so your portfolio grew. What are we expecting to trend throughout the rest of 2023?
Nick Blitterswyk: I know I had given an answer earlier that we expected that growth to be more marginal. I know that even Stephanie mentioned in the prepared remarks about 74 being the employee and contractor account. Some of those contractors have been part time and we're kind of -- we did that ERP implementation last fall into early this year, et cetera. So there is some of those things that will hopefully wrap up. As we go through financing of different portfolios and so on, there is financing expenses and things like that that come through as well. But I think that from a platform perspective, we're now -- we're very close to being already the third year in a row of adding 100 megawatts of backlog. And as we see that move through in a more routine measure, we should see more steady growth there.
Marcel Valentin: How to formalized you're 2022 to 2026 strategic plan? When can we expect further updates?
Nick Blitterswyk: Yeah. No, that's -- that is a good question. So last year, we had finalized an internal 2022 to 2026 strategic plan. And we're actually just refreshing it right now for a 2023 to 2027 version. And that is something that we owe to the market here. I think that with it being late May right now, that's something that we'll to get out no later than our Q2 business milestones. That's something we usually send out about a weekend to the following quarter. So that'll be in early July. And Stephanie and I will make sure that we hold the team to that date.
Marcel Valentin: The next question has come from RC Capital. Can you elaborate on project economics of battery energy storage projects which represents 30% of your backlog? What can we expect as a developer fees per watt? What is the fair market value of 1 watt at COD?
Nick Blitterswyk: Yes. So, at a high level, what I'll say is that, when we look at a megawatt of battery storage projects, which -- when I say a megawatt of battery storage, we're in almost all cases looking at what you'd call a four hour battery. So a one megawatt inverter would be a four megawatt hour battery. For that, on a megawatt basis we're seeing pretty similar economics of battery storage versus solar. So what I mean by that is, it's pretty similar on CapEx and pretty similar on IRRs. I know in my prepared remarks, I talked about sort of an illustrative example that's actually taken from our investor deck. And I say illustrative, but this is in line with our expectations on current portfolio. And that was a fair market value of say $3.30 a watt and a CapEx of $2 dollars a watt. Within, call it, 15% give or take. We're kind of seeing energy storage in a similar range.
Marcel Valentin: It was on its way back, 200 megawatts in backlog this year. Is this growth rate sustainable and what should investors expect for the second half of 2023 and 2024 in terms of backlog growth?
Nick Blitterswyk: Yeah. So just to repeat that back, we're close to 100 megawatts added of backlog so far this year. And so, I think the listener there doubled it for the full year. What I'll say is, we have a lot of activity. I touched in the prepared remarks about almost half a gigawatt in Stage 3.0, for example, and then 2.6 gigawatts in the earlier pipeline stages. So I think that that's quite fair as a baseline. We see tremendous opportunity in this space. We -- we'll continue to aim low and -- or whatever, like, forecast low and look to beat those numbers as we have for the last couple years here. But, yes, I do think that the 100 megawatt goal and future run rate is getting really quite conservative here.
Marcel Valentin: The next question is from  (ph). Your cash position increased by $2 million over the Q despite an operating loss, is this cash increase due to fees earned on reaching NTPs? Please elaborate.
Stephanie Bird: Nick, if I might take this one. The timing of cash is very much dependent on when we've been closing and drawing on our project financing. And they're -- particularly for portfolio of the main project that we had. We had hit our EPC milestones, and we're able to draw on that facility at the quarter end. So a lot of that proportion has to do with the timing of the financing rather than on the developer fee for this time around.
Nick Blitterswyk: If I just -- I'll just slightly elaborate their further. Thanks, Stephanie. And I'll just say that, we often talk in somewhat nebulous terms about a developer fee. And even like if I get more granular, there is certain aspects that we would actually refer to as like an EPC margin for building the work for ourselves and there's other aspects of developer fees, et cetera. But I think we're excited to be increasing deployments and starting to see more cash flow flow through the business as a result.
Marcel Valentin: Next question is, there was enough in the subsequent events section that said that $6 million development financing was secured. I know that you have NPR that. Is this because arranging financing is quite easy and not notable anymore?
Stephanie Bird: Nick, if I can take it first and then you can elaborate. My -- what we had found is, we had actually at one point in time being announcing every site securement that we had, and that became regular course. And as we look out to the future for what it is that we do, arranging financing is also a regular course. So, it wasn't her intention to continue with the announcements on those.
Nick Blitterswyk: Yeah. And I think that's fair, Stephanie. And just to further elaborate there too is that, this is standard course project financing. This is with one of the banks that we work with on construction of term notes as well. And we also say for a development capital line, this is the most competitive cost of capital we've had for that type of facility so far, so we're excited by that as well. And also because it's like standard project finance, there's no warrants or anything like that involved it just to nip that in the bud if there was any questions around that.
Marcel Valentin: Next question comes from . Given the products coming online, how much longer do you depend on these  operations?
Nick Blitterswyk: So the -- as I understand the question, there -- I touched on in my prepared remarks about, like, just looking at the income statement really -- you really miss the bigger picture in terms of the value that we're building out. Right? So in -- if I just try to do some like quick mental math, right? You know, I talked about those 28 megawatts that are in operation, construction and late stages of development. We use this $1.30 metric as a representative example. So if you do some quick math on that. We're talking about close to, what is it? Like high $30’s millions of -- like a value being created this year. So, the income statement is not going to show that because the income statement is going to show the energy generation revenue once those projects are operating. But to kind of highlight the question that  had asked at IA is like, hey, we could go and sell those projects, and we could be very, very profitable this year. But it's more about creating that long term value for the company here and seeing that grow. So we're seeing -- we had the talk here about developer and EPC fees and things like that. As we're building up these projects, they start to -- the flywheel starts to be come into effect, I think, with these projects. And so, it's a little bit less about funding those losses because, actually I mentioned that we're expecting to be cash flow positive this year and more about continuing to work projects through the funnel and see the portfolio grow here.
Marcel Valentin: As you build out the existing backlog to 300 megawatts, how many employees and contractors will you need versus the 74 employee contractors today?
Nick Blitterswyk: I know -- I've touched on a few times that like we've been building the company to be able to have throughput of 100 megawatts per year. So 100 megawatts becoming operational per year. And I think we're a couple of years from that. I think in 2025, we can be at that type of a mark. Both with the backlog we have now and with pipeline that will continue to add over time. The question there about scaling up further, we've already been showing that we're doing more than that on the origination side of things. On the development side of things, we've added a little bit to the team more recently. But they're kind of working on that 100 megawatt throughput there as well, and the deployment side, we more recently scaled up. So I'm just going to say it again, growth to be at that that type of 100 megawatt per mark is going to be much more marginal. I'd be remiss not to say, hey, I mean, we have big plans, big objectives here. Right? Like, we want to be $ 1 billion company. We want to have a gigawatt of operating assets. So we'll take a look at how we invest in the company and how we scale things up here as we go. We'll also be strategic and methodical about how we go through that.
Marcel Valentin: How are projects working through the utility approvals? Are you still seeing delays?
Nick Blitterswyk: Yes. So, utility approvals, I would just kind of copy paste the answer earlier on interconnection approvals. They're really one and the same. And so, I touched earlier on different states having different levels of predictability based kind of on states like New York and Mass and things like that being quite predictable and some of the smaller or newer states to solar being a little bit less easy to predict. But yes, so I won't elaborate there any further.
Marcel Valentin: And our next question comes from . A 100 megawatt's operational time line for milestones seem to have moved Q1 to Q2 2025. Can you please provide some color on the cause?
Nick Blitterswyk: So Marcel, I know I have the slide up on my screen right now. Was the question around the movement there from late 2025 into 2026?
Marcel Valentin:  Q1 to Q2 of 2025?
Nick Blitterswyk: So yes, I think -- if I'm looking at this -- Well, I guess what I'll say is, there is variability here. I think when you see a big bulk move like that, it's largely because, like Pennsylvania is a market that we've talked about on this call already. There's also, for example, California is a state that has an upcoming changes to the program there and we've been developing a lot of backlog there more recently, things like that. So without knowing the absolute specifics. And by the way, people can reach out offline to us and we can try to get specific answers there too. But my guess would be that it was our team's expectation shifting a quarter or two on a specific market.
Marcel Valentin: Are you finding it difficult to get funding for new projects? In other words, is the global liquidity trench affecting you in a meaningful way?
Nick Blitterswyk: Yes. The answer to that is no. We're not finding it difficult so to speak. I think that it has been a little bit of like a shifting market. I mentioned a few questions ago that the development capital line we got was the cheapest development capital line we've had so far. The most recent closing we had announced was a closing in late March for a portfolio in Maine. And that was I think the second best cost of capital we've ever gotten. Again, real terms, not relative terms, real terms in -- for a project funding. We have many other project findings on the go right now. So I wouldn't say it's difficult. I would say the team is very busy because we're doing so many more of these as we've hit a bunch of NTPs, but even more so, we have a number of NTPs coming up. But yes, I know I wouldn't say that it's difficult. I think there's a lot of capital out there looking to fund this space.
Marcel Valentin: I have no further questions, so I'll pass the call back to management for closing remarks.
Nick Blitterswyk: Thank you, Marcel. And thank you everyone for listening in today. We appreciate you following along. As I just mentioned, we're here for any questions that come up along the way. We're really excited about the business that we're building and the prospects that are in front of us here. So thanks again for tuning in today.
Marcel Valentin: This concludes UGE International's Q1 2023 conference call. Thank you for joining us, and enjoy the rest of your day.